Operator: Welcome to the Aflac Second Quarter Earnings Conference Call. Your lines have been placed on listen-only until the question-and-answer session. Please be advised, today's conference is being recorded. I would now like to turn the call over to Ms. Robin Wilkey, Senior Vice President of Aflac, Investor and Rating Agency Relations. You may begin.
Robin Wilkey: Good morning, and welcome to our second quarter call. Joining me this morning from the US is Dan Amos, Chairman and CEO; Kriss Cloninger, President of Aflac Incorporated; Paul Amos, President of Aflac; Fred Crawford, Executive Vice President and CFO of Aflac Incorporated; Teresa White, President of Aflac US; and Eric Kirsch, Executive Vice President and Global Chief Investment Officer. From Tokyo, also joining us today is Hiroshi Yamauchi, President and COO of Aflac Japan. Before we start, let me remind you that some statements in this teleconference are forward-looking within the meaning of federal securities laws. Although, we believe these statements are reasonable, we can give no assurance that they will prove to be accurate, because they're prospective in nature. Actual results to differ materially from those we discuss today. We encourage you to look at our quarterly release for some of the various risk factors that could materially impact those results. Now, I'll turn the program over to Dan, who will begin this morning with some comments about the quarter as well as our operations in both the US and Japan. Dan?
Dan Paul Amos: Thank you, Robin. Good morning and thank you for joining us today. Let me begin with an update on Aflac Japan, our largest earnings contributor. I am extremely pleased that sales of the third-quarter products were up a whopping 25.2% for the second quarter and 23.3% year-to-date. In addition to continued strong sales of our cancer insurance, the new medical product we introduced last month has proven to be very attractive and what has become a very competitive market. From a distribution standpoint, Aflac Japan generated positive sales growth from all of our sales channels, which lets us know we are focused in the right direction. Our goal is to have a presence where consumers want to make their insurance purchase decisions, and these results reflect our success in broadening our reach and our sales opportunities. Keep in mind that Aflac Japan's fourth quarter sales of third sector products were up 28.5%, thus making this year's fourth quarter a tough comparison. Given strong third sector sales growth in the first half of the year and the positive reception to the enhanced medical product, we now anticipate that sales of third sector products will increase between 7% to 10% for the full year. This is much stronger than our original expectation and impressive given that are already leading market share position in the third sector products. Now let me turn to our US operations. I'm encouraged that the second-quarter sales improved over the first quarter results. I believe that the changes we've made to our management infrastructure last year are setting the stage for bigger and better sales opportunities. Additionally, one day pay has generated a lot of excitement with our distribution channels, accounts, and policyholders. Through the industry-leading claims initiative, we are able to process, approve, and pay eligible claims in just one day. This allows us to deliver on our promise to our policyholders even more meaningfully by getting cash in their hands faster than ever. We continue to estimate that 70% of our policyholders can use One Day Pay for their claims. In 2015, we expect to process nearly 2 million claims within the parameters of this initiative. Along with our strong brand and relevant products, I believe One Day Pay will continue to underscore the value of Aflac's products and ultimately help Aflac sales long-term. At the same time, 2015 continues to be a year of building an Aflac Group. We are making progress with advancing our relationships and our potential business opportunities through insurance brokers and larger case market. As our production through broker and larger employers grows, we anticipate that sales will be driven progressively toward the fourth quarter, which will magnify the seasonal pattern of our sales to a certain extent. We continue to concentrate our efforts on increasing Aflac U.S. sales 3% to 7% for the year. Having covered operations, let me turn to a topic I know is top of mind with the shareholders, and that's capital deployment. We remain committed to maintaining strong capital ratios on behalf of our policyholders. We continue to believe our capital strength puts us in an excellent position to repatriate approximately JPY200 billion to United States for the calendar year 2015, which continues to reinforce our plan to repurchase $1.3 billion of the common stock in 2015 and places us in a good position for the next year as well. As I've said at the financial analyst briefing in May, we believe that over the next few years, all else equal, we'll have opportunities to increase the capital available for deployment. Let me reiterate that our strong bias is the first to continue with our strong record of dividend growth; followed by repurchasing of our stock; and third, disciplined investment in organic growth initiatives. With the first half of the year complete, I'm pleased with the company's results. We have upwardly revised our target for 2015 operating earnings per diluted share to now be in the range of 4% to 7% on a currency neutral basis. Historically, the majority of the expenses have skewed more toward the end of the year. However, we have expedited some of the spending in the first half of the year and now believe expenses should lessen in the latter part of the year. Of note, some of the expense acceleration is driving strong growth rates, and we are experiencing in Japan and expect to experience in the United States. As always, we are working very hard to achieve our earnings per share objective while also delivering on our promise to our policyholders. Now, let me turn to a topic I know you're eager to hear about. As most of you know, Fred Crawford has joined the Aflac team at the end of June as Executive Vice President and Chief Financial Officer. At our analyst meeting in May, I shared how important it was that we bring in someone who not only has a new perspective but who as a leader also enriches our corporate culture. Ultimately, the corporate culture of our organization is a very important factor of leadership, because it helps define the company's common goals, objectives, and standard of behavior that employees have come to count on. Throughout Fred's three decades of financial leadership experience, he has consistently demonstrated that he possesses the characteristics that we have been looking for and we believe he is the right man for the job. Let me just say that he is off to a tremendous start at Aflac in terms of overseeing the financial management of the company's operations including global investments. As you know Kriss is continuing his duties as President of the Corporation, in addition he is working closely with Fred as he transitions to Aflac. Fred has also been rolling up his sleeves and I can tell you that he fits right into Aflac. Fred we are glad to have you. Now Kriss is going to say a few words about the transition followed by Fred who will then turn it back over to Robin. Kriss.
A - Kriss Cloninger: Think Dan. First let me say, I have been both privileged and blessed to have held CFO responsibility at Aflac for the last 23 years. And I look forward to continuing to serve Aflac and all of its stakeholders including the investment community as President of Aflac Incorporated at the pleasure of Dan and the Board. I've always wanted to transition my CFO duties at a time when Aflac is financially strong. And today, looking at our capital position and our earnings prospects, I certainly believe that to be the case. I'm pleased we were able to upwardly revise our EPS guidance for 2015. We've performed at/or better than expected for the first six months and our outlook for the full year is more favorable than our original estimates. Accordingly, I believe Fred is joining us at a good time, and I'm enjoying working with him as he transitions to his new responsibilities. And let me tell you that Dan and I were immediately impressed with Fred during our interview process. We believe his breadth and depth of experience as well as his exposure to the financial challenges that the industry faces gives him a perspective that will significantly benefit Aflac. But equally important to this was Fred's history as an active partner with his previous CEOs. I have complete confidence that Fred will capitalize on those experiences and fully meet our expectations of him as Aflac's next CFO. So with that build up, let me turn it over to Fred for a few comments.
Frederick Crawford: Thinks Kriss and thank you Dan for the nice comments. Let me start by thanking the entire management team here at Aflac for welcoming me into the Aflac family particularly Dan and Kriss, who have built out a very comprehensive transition plan for me into the new CFO role. It's a real privilege to be here. Ever since I started with the company nearly a month ago it has been a whirlwind of meetings and activities directed toward gaining a deep understanding of the operations, our strategy, key initiatives and of course the key financial drivers. I've had an opportunity to spend a productive week in Japan. I also attended a sales force meeting in the U.S. and countless briefing sessions at various -- with various areas of the organization, especially on matters related to driving growth, valuation and efficient capital management. It's clear to me that here at Aflac, we have a very high caliber level of people who are dedicated, compassionate and who generally love what they do. I've joined the company at a particular good time as a strategic planning process is underway and the 2016 financial planning process begins. I will understandably play a more limited role on this call, but as I immersed myself in operations, investments and the financial details I look for to sharing my perspectives with you in the future periods. I can assure you that under Dan and Kriss' leadership the team is laser focus on driving growth, effectively deploying and delivering capital back to our shareholders and leveraging our platform here in the U.S. and Japan. So with that I'm very excited to be here and I look forward to more opportunities to interact with all of you. And I will hand it back to Robin. Robin?
Robin Wilkey: Thank you, Fred and welcome. I would like to go over some second quarter numbers this morning, starting first with Aflac Japan. Beginning with the currency impact for the quarter, the Yen weakened against the Dollar 15.7%. In reference to topline in the interims, revenue as reported were flat for the quarter. Excluding the impact of the Yen revenues declined 1.4%. In terms of the quarterly operating ratios benefits to total revenue declined slightly compared to last year going from 60.6 to 60.5 in the second quarter. Excluding the impact of the weaker Yen, the benefit ratio for the quarter would have been 61.3%. Reinsurance had 110 basis points positive impact on the benefit ratio in the quarter. The expense ratio in the quarter increased to 18.4% from 17.7%. Expenses were in large part due to write-off -- software development costs related to modernization activity, planned increased spending associated with upgrading of our system software in Japan and also promotional expenditures for our new medical product. The pre-tax profit margin declined slightly during the quarter going from 21.7 to 20.1. Excluding the impact of the Yen, the pre-tax profit margin for the quarter would have been 20.1%. With the retraction of the margin pre-tax earnings declined 3.1% in the Yen terms. Excluding the Yen pre-tax earnings would have been 8.9% -- would've declined 8.9%. Now, let me turn to Aflac U.S. where total revenues rose 1.9% for the quarter. And looking at the operating ratios, the benefit ratio was 47.7% compared to 48.1%. The primary reason for this improvement was the continued favorable claims experience. The operating expense ratio increased going from 31.6 to 32.8. This increase is a result of increased spending on the U.S. sales strategy as we've discussed before and is in line with our expectation. Now looking at some of the other items, non-insurance expense at the corporate level were 38 million compared to 51 million a year ago. This decline reflects the impact of the extinguishment of the debt executed last quarter. Parent company and other expenses were 20 million compared to 19 million in the second quarter 2014. On a operating basis the corporate tax rate was 34.6 compared to 34.5 last year. As reported, operating earnings per diluted share before the Yen impact were 164 compared to 166 a year ago. The weaker Yen decreased operating earnings by $0.14 per diluted share for the quarter. Lastly, let me comment and reiterate some of the statements Dan made. We have upwardly revised the target obviously for 2015 and now expect operating earnings per diluted share to be in the range of 4% to 7%. For the third quarter, if the Yen averages 1.22 to 1.25, we would expect operating earnings to be in the range of 140 to 153 per diluted share. Using the same currency assumptions for the full year, we would expect to report EPS similar in the range of $5.88 or $6.17 per diluted share. Before we take your questions, I would like to take this opportunity to update everyone on a change to the timing of our earnings guidance practice. After careful consideration, we concluded the best practice would be to provide earning guidance in December for the following year in the form of a dedicated outlook call. We believe this process better aligns us with the natural timeline of our financial planning process. Additionally, this practice also puts us more in line with the guidance disclosure practices of many of our peers. Now, we're ready to take your questions. But, first let me remind you to be fair to everybody, please limit your questions to one initial question and only that's only one follow-up that relates to your initial question. We will now take the first question, please.
Operator: [Operator Instructions] The first question is from Yaron Kinar with Deutsche Bank. Your line is open.
Yaron Kinar: Good morning, everybody. I wanted to focus on third sector products and specifically the new guidance. Is the new guidance for the full year 2015 reflecting any changes to your fourth-quarter expectations or is it mostly driven by the first-half results and maybe expectations of stronger sales in the third quarter?
Paul Amos: This is Paul. Let me say that certainly our first through third quarter's -- first two and performance third expected are running ahead of our expectations, and so that is a considerable portion of the 7 to 10 target. That said, we do believe that we've improved modestly our fourth-quarter outlook. Again, we've only had a very short period of time in terms of seeing the medical sales of the new product that's just been launched. And so, I think I will have a better view on how the fourth quarter is going to be as we get to the third quarter call, but I'm extremely optimistic about what's happening as Dan said in his opening remarks. We’re up across all channels, and 7 to 10 increase in third sector reflects a much improved number over where we thought we would be coming into 2015.
Yaron Kinar: Got it. And then my follow-up. Also still seen on the third sector product sales, are you seeing any changes in the demographics that are buying the new product compared to what the traditional demographics has been? And also have you seen -- maybe can you offer some detail as to what portion of cancer products sold are coming from Japan Post?
Paul Amos: Yeah. Unfortunately, we cannot disclose or we do not disclose how much of the percentage that's coming from Japan Post. What I can tell you, what I said and what Robin has said is that we're up across all channels and that our cancer growth is not driven solely by Japan Post, but instead by all channels. In terms of the demographics, there’s somewhat similar to what we've seen in the past. We are targeting younger customers by certain product lines, and we've seen some movements because of that. That said in the aggregate, I would not tell you that that move has been significant up to this point.
Yaron Kinar: Great, thank you very much for the answers.
Paul Amos: Thank you.
Operator: The next question is from Jimmy Bhullar with JPMorgan. Your line is open.
Jamminder Bhullar: Hi. I had a question on U.S. sales and recruiting and the producer account. You’ve made a lot of changes in your sales infrastructure, but we've seen a steady decline in recruiting in the agent count, when do you expect the changes to start lifting recruiting, and do you expect it in the fourth quarter when it's a heavy sales season or would it be more likely in 2016?
Teresa White: This is Teresa. So let me start by talking a little bit about the recruiting number. The recruiting number consists of both broker recruits and career agents. And on the broker side, we’ve purposefully reduced the number of recruits there because our goal is to strengthen and deepen the relationships that we have with our current brokers. We've hired 120 broker sales professionals and our goal is to continue to earn the business of each of those brokerage houses and to help them to grow their business. Now and many of these are large brokerage houses that we have these relationships with. So we knew that the business would skew towards the latter end of the year. And we knew that we needed to start working on deepening relationships with these brokers. So, I feel good about that, but that means that recruiting number will not be driven upward as steeply and the decline that you see in that recruited number is driven primarily by the broker recruits. Now from the career perspective, we will continue to work at increasing the number of career recruits. Our goal there was to initially increase the number of district sales coordinators, because in our field force, those are the field hierarchy of coordinators who actually train those new recruits. And we have increased the number of districts by 16%. And so, we are now seeing an increase in recruits as well. For the second quarter, it's around 3%, 2.6% is what we are seeing increase in recruits. So we have strategy certainly to continue to increase recruiting, but our philosophy has changed somewhat on the broker side. We do know that lower recruitment does not mean lower sales at this point in time because the broker business is growing and we are pleased with that.
Jamminder Bhullar: Okay, thank you.
Operator: The next question is from Nigel Dally with Morgan Stanley. Your line is open.
Nigel Dally: Great, thanks and good morning. So my question is for Fred, first congrats on your new position. One of the key questions we get is how will the financial management of Aflac change, if at all, with you taking over as CFO, so I know it's early but any priorities that you have which are perhaps a little different to where Aflac was previously focused?
Frederick Crawford: I think you should expect no -- certainly no sharp changes right or left from me. One, job one is really focused on understanding Aflac's operations and strategy. My approach has always been the same at the companies I've worked at. My ability to be effective in understanding the financials and particularly also capital development is everything about understanding the operations. So where I've been spending most of my time is just getting a feel for the platform both here in the U.S. and Japan. I'm very privileged in taking over for one of the most respected CFOs in the industry who has spent a lot of time and years developing great people around him and great practices. I fully expected I would arrive here and find a very solid financial operations and management and that's exactly what I found. So really where my focus is going to be is really more contributing to really Aflac's focus on driving growth and taking the company to like the next level. I think my observations of Aflac is that the good news is that we're dominant in the markets that we serve. But at the same time that raises the stakes on driving future growth. And we've got a lot of initiatives underway doing that and that's where my focus is going to be is understanding that and helping to interpret those strategies to how it matters to our financials and how it’s expected the flow-through. So, that's where I'm expecting to spend the lot of time. But in terms of the core practices of the company, they are very solid, they are very familiar, and I like what I see.
Nigel Dally: Great. Thank you.
Eric Kirsch: And I like to comment as a CEO. Chris and Fred thought processes are much the same. They are very thought provoking in their approach to everything that they do and the mutual respect that the two of them have for each other, I have seen over the last month, is only going to make our company stronger. And I told Fred not to get the big hit, but that he was exceeding our expectations and he certainly has been in all the eyes of the people that have worked with him so far.
Nigel Dally: I appreciate the color thanks.
Operator: The next question is from Randy Binner with FBR Capital Market. Your line is open.
Randy Binner: Hey, thanks. Good morning. I was hoping to get some update or color on ongoing reinsurance transactions. There was nothing no worthy there in the quarter, so should we still be thinking about those as coming along and enabling that kind of you hitting the higher end of the capital deployment range you give it the FAB meeting in May?
Kriss Cloninger: Randy, Kriss. You're pretty much on target there. At FAB we indicated a range of deployable capital we expected to see over the next three years of somewhere in the neighborhood of 6.3 billion to 7.5 billion, I told you at the low end of the range, I didn't think we'd have to do much in the way of extraordinary capital raises either through reinsurance or other means to achieve that level of capital deployment. Perhaps some modest level of reinsurance to get to the 7.5, we might have to do some other things. We've got our year to the ground and the reinsurance market overall as you know we're pursuing ways to achieve cost effective, cost efficient ways to reduce sterile capital particularly in the Aflac Japan operation, we think we did that through our last transaction. That exceeded a significant block of business in Japan, but allowed us to recover our retrocession from the reinsure of 90% of the block to minimize the cost of that block. And still achieve a significant reserve release in Japan. We – we're talking with the reinsurance community about additional follow on opportunities of that nature. We don't have anything in the works at the moment. Nothing to announce. But it's part of our planning process and we're continuing to flesh out the planning around sources and uses of capital. And Fred and I have been having significant discussions along with Ken Janke in our planning for the future there. But nothing in the pipeline at the moment, nothing that you ought to expect here about in the near-term.
Randy Binner: I guess, the follow-up would be given the amount of capital in the reinsurance area in general and kind of the trajectory of the deals you've done which have gotten kind of each one has been better of the three major ones, is that still the direction of the conversations you have with the reinsurers that the terms and conditions and circumstances continue to improve, is that a fair way to think of it?
Kriss Cloninger: That's our objective, yes. And we continue to explore the market to achieve that objective.
Randy Binner: Thanks. Thanks a lot. Thanks.
Operator: The next question is from Erik Bass of Citigroup. Your line is open.
Erik Bass: Hi. Thank you. Dan in your comments you had mentioned for the priorities for capital return. You said dividends, buyback from organic growth. You discuss how you're thinking about M&A a new level of interest in doing something particularly in the U.S.?
Dan Paul Amos: I think that the price of insurance companies are through the roof. And I can't possibly see in anything making any sense at this particular time. The thing I could see are small things that would ultimately enhance our internal growth. But like a CAIC type that makes us broader in our perspective. So in terms of capital it wouldn't even be a blip on the screen. It wouldn't even require a release it would be so small the things we're looking at. So right now is not the time. What we need to do is concentrate on what ultimately enhances shareholder value and that's growing our business internally and then doing share repurchase if that makes sense. And then also increasing the dividends. So I am staying in that area.
Erik Bass: Thank you. That's helpful color. Just one more on the M&A theme. I guess as you're seeing more domestic Japanese companies look abroad for growth and do foreign M&A. Is there any change in their competitor behavior focus on the local market in Japan?
Kriss Cloninger: I'll let Paul take that.
Dan Paul Amos: We closely follow all the Japanese domestics. We see certainly sometimes different behavior between those that are mutual companies and those that are stock companies. But in general, they are following their overall strategic long-term plans allocating certain percentages of revenue they like to see outside of Japan. But we don't believe in any way that's fundamentally changing the domestic marketplace. We do however believe that our continued focus on Japan and the efforts that we're making there are allowing us to continue to execute better and better and I think that's evident in this quarter's numbers. As we continue to keep our focus right in Japan and what we think the Japanese consumer needs.
Erik Bass: All right. Thank you.
Operator: The next question is from Ryan Krueger with KBW. Your line is open.
Ryan Krueger: Thanks, good morning. First, can you talk about the key factors that led to your upward revision in 2015 EPS guidance?
Kriss Cloninger: Yes, Ryan, I will cover that. Basically, we got the first six months under our belt, things came in as I said at or somewhat better than planned in most particular areas. I always like to say we've got a lot of moving parts in this organization and I have to expect some good variances from plan and some that are maybe not quite as favorable. But net-net, things that moved from plan netted out to be on track. I will say that we had frontloaded expenses both in Japan and the U.S. this year relative to where they were in the prior-year at least on a comparative basis. In the U.S. it was all continuing build-out of the change in the sales management model and alike in Japan we had planned to do some additional work in our IT areas in terms of building out some of the systems we are working on and the like. Of course, we ended up with that relatively modest write-down of some of the software developer costs we had previously incurred. I'll tell you there are a lot of moving parts on that software development cost thing. We are going to get a credit from the vendor that participated in doing that software development that'll benefit us in subsequent periods. Credit somewhere between at least half of the amount of the write-down and we have some optionality in terms of when to take advantage of those credits. But all of that being said, we had a good solid first six months. We think will be on plan or better for Japan and U.S. benefits in the second six months. We are ahead of plan to some extent in net investment income. And, of course, we did that bond transaction to take out the 8% notes that we had outstanding. Took them out and the combination of first and second quarter eliminated $850 million of bonds they carried an 8% coupon replace them with about $1 billion of debt. They carried much lower net effective coupon rates and that's going to save us about $0.07 per share a little bit over 1% increase in EPS during the period. So all of those things as netted together, I mean the increase in guidance wasn't huge, but it was an upper revision to indicate that we had a good plan for the year and we have confidence we are going to make it during the second part of the year. Good sales help that too. So that is about it from my perspective. I don't know Dan if you want to add anything to that. But that is the financial story I will let you follow-up if you want to.
Frederick Crawford: You know, I think he got it.
Ryan Krueger: Thanks Kriss. And then -- and my follow-up is just on the Japan new money rate, it increased meaningfully to 3.76% in the quarter. Can you talk about what drove that and how meaningful were the cash flows that were invested at that rate?
Kriss Cloninger: Sure, absolutely. A big driver of that was as you recollect I talked about earlier in the year that most of our cash flows were back ended in the second half of the year. And one large portion of those cash flows was again you recollect we had the flash crash of October 15 last year. We sold about $1.2 billion of treasury, but we opted to put that into yen or JGBs because we didn't like the dollar opportunity at the time. We planned to bring that back to dollars during 2015, but we wanted to be opportunistic so not knowing exactly when that would be that was planned for July 1. As you know during the second quarter tenure started at about 190 or 180 or so, ended the quarter around 240. And in early June hit around 245, 250. We opted to take about two-thirds of that money and allocated in June mostly to some investment grade corporate bonds and a little bit of high yield. So we were opportunistic in terms of the timing planned for, but we did a little earlier than we originally put in the budget of July. So that was the big driver of that new money yield. And as I had said last quarter we expected over the year this would iron out the first quarter was just because we focused primarily with the small amount we had on JGBs, but we'd always planned on having a larger dollar allocation. So, I hope that helps.
Ryan Krueger: Very helpful. Thanks.
Operator: The next question is from Steven Schwartz with Raymond James & Associates. Your line is open.
Steven Schwartz: Hey. Good morning, everybody. Just a couple of follow-ups on previous questions. Teresa, just so I'm clear here, the recruited agent number, the brokers, these are like account managers that you're including in these numbers? Some guy working at Aon [ph] ?
Teresa White: The recruited numbers are all recruits. So, broker recruits as well as career recruits. So if an Aon example may have producers that are recruits as well, so anyone with a license, and it depends on the state, but anyone with a license, they are counted in this recruited number.
Steven Schwartz: Okay. Could you tell us what weekly average producers or monthly average producers, what those comps would look like with regards to just the traditional career agency force?
Kriss Cloninger: The numbers that you see actually in the FAB Sup, I would say, primarily are the sales force, the career force. One of the things that I've spoken with Robin about is, as we skew more towards broker business that we need to re-look at how we present this information in the FAB Sup. And the reason I'm saying that is, the numbers that are represented here are primarily our sales, our careers sales organization numbers. So the weekly – average weekly producers, average monthly producers, and then we had brokers that were contracted as associates. But as we have executed on our new broker strategy now we've started looking at brokers as a single entity in our system, but they are not well represented here. So the field force is still very, very important to us and we're continuing to work with them on the less than 100 – 100 or less accounts. But I don't think that I'm fairly representing the broker community on the FAB Sup and we plan to change that.
Steven Schwartz: Okay. And then a follow-up for Eric. Eric if I get to the previous answer, right, basically the point is that it wasn't really new cash flows. This was from premiums or whatever, from the company. This is just selling JGBs and trading those into dollars.
Eric Kirsch: Primarily. There is a little bit of new cash flow. So when I speak of new money, it's an accumulation from operations, maturities, calls, the interest, coupons, things of that nature. But the percentage breakdown is primarily from the JGBs coming back to dollars.
Steven Schwartz: Okay. Any sense of what we should be thinking about for the rest of the year for new money yield?
Eric Kirsch: We have a number of things in the pipeline. It will be somewhere, I would say, between where we are now and much higher than 2%.
Steven Schwartz: Okay. Thank you.
Eric Kirsch: You're welcome
Operator: The next question is from John Nadel with Piper Jaffray. Your line is open.
John Nadel: Hi. Good morning, everybody and Dan I think I can probably speak for most of your shareholders when I say I'm really excited to hear that you believe 18 times forward earnings is a too high a price to pay for insurance company acquisitions.
Dan Paul Amos: Let me say that's from our standpoint. I can't speak what other people would, but from our standpoint we can't make it work. But it'd be a good evaluation for Aflac.
John Nadel: All right. Well, yes, it certainly would.
Dan Paul Amos: We have to [indiscernible].
John Nadel: The question I have for you is where did -- if you could just level set us on where the parent company cash position ended the quarter and how much of that ¥200 billion that you have planned to repatriate for the full year how much of that was taken through the first half of the year?
Dan Paul Amos: Let's see I've got some of those numbers here John. Total cash and cash equivalents were right out 1.4 billion, but that was down from almost 2.5 billion at the beginning -- end of the first quarter because we refinanced and paid off those notes of a little over $1 billion during the quarter. The cash available to shareholders which we count as the amount of cash that we actually got less $500 million minimum balance cash collateral amount and any debt refunding activities we've got, that's closer to 400 million. And we'll expect that to grow modestly during the third and fourth quarters as we receive additional amounts of repatriation. We actually received ¥119 billion in July that wasn't included in that number at the end of the second quarter I gave you. And we got another 50 billion planned or recover or received during the remainder of 2015. Cash position is pretty good.
John Nadel: Absolutely. Thank you.
Dan Paul Amos: Sufficient to support the share repurchase objectives anyway.
John Nadel: Yeah. Understood. And so I guess that sort of begs the question, what are you looking to see in the back half of the year to give you maybe a little bit more confidence to think about that $1.3 million for 2015 being a higher number.
Dan Paul Amos: Well, we think about it being 1.3 that's implicit in the guidance, the revised. We haven't really thought about it being a bigger number at this point. But it's certainly possible depending on how things break that we would consider that if appropriate. But we're not ready to say it's appropriate. We're doing our cash planning our earnings planning et cetera, et cetera, and the updated guidance we gave you which is toward the high end of the original guidance is as far as we going to go right at the moment.
John Nadel: Okay, understood. Thank you very much.
Operator: The next question is from Humphrey Lee with Dowling & Partners. Your line is open.
Humphrey Lee: Good morning. Thank you for taking my call. Just a question about waste sales in Japan. It was up 36% in the quarter to ¥5.6 billion, if I recall correctly the highest level since late 2013. I understand the product is being repriced and you're using it to maintain relationship. I'm just kind of wondering what is the return on the reprise waste products and what kind of new money yield you need to achieve that return?
Dan Paul Amos: Well, this is Paul. Let me start on first sector broadly. And say that first sector as we promised, we were going to actively manage is down again 11.8% in the quarter and down 21.1% year-to-date. We did, as a part of our strategy, re-price and redevelop part of the WAYS product, our BR product, really focused on 15-year and longer, first and foremost, to help handle any disintermediation risk; second of all, to target a potentially younger customer and we've already seen in the first quarter a lower average age of issue as a result; and, finally, as we've discussed or I've discussed at FAB as an accommodation to our agency sales force. Keep in mind, several of our large channels don't even offer first sector generally, whether it's Daido, Dai-Ichi or Japan Post. But through our bank channel, we continue to monitor in cap sales of first sector products. But as our exclusive agencies depend solely on Aflac for their products and they continue to do a great job creating cross-selling between first sector sales and third sector sales, we continue to work with them to develop product that we think can meet our needs as well as meet the needs of growing our third sector sales in Japan. I'll turn it back over to these guys to talk about the expected profit margin and the overall rate for interest.
Kriss Cloninger: Well, I'll make a brief comment on that. As you know, we've continued to operate in historically low interest rate environment in Japan. That's led us to being cautious and disciplined relative to our sales practices. In today's interest rates, we're looking at mid-single-digit profitability as a percent of premium on the WAYS business produced today, if those low interest rates continue on for the full premium period of the policy. As Paul mentioned, we extended the premium period for the new version of WAYS from pretty much a 10-year minimum to a 15-year minimum call. That produces over a premium rate in each year we collect a premium, it gives us a longer period of time to yen average or dollar average invested interest rates during the time we receive the cash from the product. And at today's interest rates, again historic lows, if those persist throughout the premium period of the policy, we expect to come in mid-single digits, which is not really consistent with our company objective. We're optimistic or hopeful that interest rates will improve somewhat over time and will get the benefit of investing some of the future cash flows at somewhat higher interest rates, but that remains to be seen. All that being and said, we do believe that it's in our corporate interest to maintain the agency relationships with the channel we've developed to continue to promote the cross-sale of third sector products, which we're pretty good at, and just monitor conditions as we continue to accept business. So it's not a rosy picture at current interest rates, but we're trying to just keep the distribution system afloat at this point.
Dan Paul Amos: I see WAYS a little bit like a contest for salespeople. You've got to keep whether we're trying to find a way to enhance sales of the third sector. One way that we're enhancing sales is that they feel like they need this WAYS product or a product to have a broad enough portfolio. And so we give up some on profit margin but whether we had had a sales contest that cost us a lot of money to increase third sector or whether or not we took a little bit lower profit margin on the life insurance product, it still ultimately our objective is not to grow WAYS, our objective is to grow third sector. And the numbers reflect what's going on in Japan that we are in fact growing third sector and growing it dramatically. No one with the profit margin we've got with the market share we've got is expected in a 12 month period to grow over 25% which is what we are growing right now.
Humphrey Lee: This is helpful. Just a quick follow-up on that is, do have any kind of sales cap on the WAYS product through your agency channel?
Dan Paul Amos: We encouraged certain products of first sector products to be sold at lower levels through our agency channel by either not entering the production credit we give them or taking away certain elements of the product related to that channel. Specific to the new WAYS product, we are focused on helping them and allowing them to sell that 15 year and longer because we believe, as Chris pointed out, it has some advantageous elements to the overall sales. But as we've cited, we have to be very careful in taking away products from exclusive provider because they would obviously have the opportunity to become non-exclusive and offer other companies products which would damage our relationship with them should we determine that we were no longer going to offer any first sector products but strictly managing products like child endowment and annuity has been something we have been heavily focused on.
Kriss Cloninger: But Paul's answer is yes and your real question is, what if interest rates go lower. And the answer is, we can control it if we need to.
Humphrey Lee: Okay, got it. Thanks.
Operator: The next question is from Colin Devine with Jefferies. Your line is open.
Colin Devine: Good morning. [indiscernible] with respect to your comments about Fred, I didn't realize Fred was quite as old given how long he has been around this business.
Frederick Crawford: Getting older every day, Colin.
Colin Devine: These markets can do that to you.
Frederick Crawford: It's not the years, it's the mileage.
Colin Devine: It's the truth. For Dan and Kriss, you know, the growth rate of the premiums and forth has continued to slow in both Japan and the US. And how much of the concern is that to you and I guess by extension is that really reflecting what we're seeing with some of the recruiting challenges and what's it going to take to turn this around?
Dan Paul Amos: Well, of course, the sheer size of Japan is a challenge. I believe that the things that we're doing in the United States, you asked me, so I am going to answer it, Teresa could answer it, but I'm going to answer it is that I still believe the US has enormous potential. I believe some of the things that we're doing specifically last year at this time for the first nine months since we put it in, we are up about 6.7%. That's still doesn't excite me too much. I want to see double digits. But I think we’re doing the right thing in that regard. Our specific areas of the country about 40% of them were up prior to these changes. And now about 60% of them are up. So they're moving in the right direction. So I'm hoping that as we see now national healthcare or Obama Care pretty well set, every ruling every everything, the people have far is kind of over now people will lock in and become used to that. It's here to stay and I think that will ultimately broadens our opportunity to grow our business. But we have got to grow new sales. And I make no doubt about that. And so we'll continue to work that way.
Colin Devine: ...with respect to Japan too.
Dan Paul Amos: Okay. I'll make a few comments on Japan. Colin I'll say that the financial guys look at increasing profitability more than they look at increasing premiums and force. And some of that today is a discipline. You know we have had input on from the investment community over the last several years 2010, 2011, 2012 we wrote a lot of per sector premiums. In my opinion it had good profit margin. And I'm convinced we added significantly to the value of the enterprise and grew our profits with first sector products. But we got a lot of push back from the investment community saying we don't want you to grow those large premium policies. Those more investment oriented products. So it wasn't solely that input that cost us to push back but it was partly that input that cost us to push back some in the first sector. And so we've reemphasized our core business third sector products that cover the body instead of being investment oriented or life insurance oriented more. And we're concentrating on growing that and I think redirecting the efforts of our distribution system. The third sector is leading to significant increases in growth. You know the fact of the matter is you've got a certain persistency or lapse rate that's just associated with the market and you lose a certain amount of business through lapses and your net gross based on how much new production you can have that offsets the lapses and force. And as we get bigger and bigger and bigger in terms of your legacy block the lapses become bigger and more new businesses is required. So we've got a balancing act going on Colin. But our final focus is on enhancing profitability and value of the company for the shareholders. I don't worry quite as much about the metric of premiums and force as I do profit growth. So I'm going to leave it there and let you push back if you want.
Colin Devine: For sure. You would be disappointed if I didn't. So Kriss if we take that the pre-tax margin seems to pretty much stabled in around 21% but the ROE has continued to significantly drop over the last five or six or seven years. Where do you see the ROE stabilizing out for Aflac Japan?
Kriss Cloninger: Well you say it has significantly dropped for the last few years.
Colin Devine: Back in 2009, 2010 it was off the charts. I think above the 41%.
Kriss Cloninger: Well I don't know, I hadn't...
Colin Devine: Pre-tax...
Kriss Cloninger: 41% -- okay. Pre-tax maybe you're right. All I know is we are in the far upper right hand corner of every chart I ever see relative to companies producing ROEs and right now on an operating basis excluding all the unrealized gains and losses and excluding the effect of currency our ROEs are still in excess of 20%. I think they were like 23.1 or something like that. That was a number. I happen to remember that number because I kind of like those ROEs. That was it for the second quarter on an operating basis. Darn, one thing we determined when we were interviewing CFO candidates is every person we interviewed told us that one thing that attracted them to talking to us was our profitability metrics and our returned metrics. Our margin metrics, our ROE metrics, they say gosh, my company sits around and lusts after your metrics. It's really attractive situation. So I'm sensitive to what you're saying about ROE declines and quite frankly, the first sector business if it produces mid to single-digit profit margin that's going to carry a lower ROE and I admit that. But that's not where we want to end up ultimately. I think will maintain the operating ROEs. Our internal range is to hit somewhere in the 16% to 24% range that's what we get paid on. So that's what we're managing for and quite frankly 20%'s is our target. And if we don't get that we get penalized financially. That's where I'm trying to keep things.
Dan Paul Amos: Colin, I will give you a couple observations from my perspective. First, we always want to try to drive those core valuation metrics nor where we can and if we can, but interestingly enough what I think is also happened over the last several years with Aflac is our cost of equity has come down, as a company is gotten bigger, stronger, stable and not quite honestly, I'm looking across the table at Eric Kirsch. Eric has grabbed on to the general account and managed the risk more carefully around the exposures that we have. The volatility and prospects of volatility for the company are down considerably and so I think ROE may have trickled down over time but certainly cost of equity has also come down too where we're still generating the kind of value that you would expect. And I would second that Kriss is talking about in part some comments I made when I was first talking with the company.
Kriss Cloninger: All candidates just made them. It was important to us...
Dan Paul Amos: Well, it's true though. But the thing that interesting about that is it goes back to also Dan's comments on M&A. I mean the bar is set extremely high here at Aflac. Because right now when we buy back our stock we are effectively buying back into a high returning company at zero premium. And that 's a very valuable thing to do. And when we look at deploying excess capital build often wins over by when you're looking at a premium. And really what we are excited about is driving more competition for investing organically in our growth model. And that's a very promising thing when you're driving good returns. So it's – were in a good position I think all the way around.
Colin Devine: Just to clarify one thing Kriss, you mentioned the 16% to 23% ROE range were you talking pre or post-tax?
Kriss Cloninger: Post.
Colin Devine: Okay clarification is important. Thank you, because we were on pre-tax.
Kriss Cloninger: And net tax income over equity as defined in the financial.
Colin Devine: A feel of that just might of had a heart attack when you were talking pre, so thank you.
Kriss Cloninger: While I don't talk pre-tax. Well I guess profit margins are pre-tax but ROE is always after tax.
Colin Devine: Yes okay. Thank you.
Operator: We have the next question is from Tom Gallagher with Credit Suisse. Your line is open.
Thomas Gallagher: Good morning. I guess in a similar line of questioning just wanted to go down the path of earnings growth. And Dan if I think about what's happening with Japan sales right now it seems like things have reflected in a positive way, certainly from a pure number standpoint. And if I go back historically Aflac has had, we'll call it at least a year lag between when sales start to influence earnings. Now I think you have a new wrinkle here though in your model in that you have this first to third sector sales transition which is clouding that connection. So I guess taking all that together, do you think we have -- we may also see an EPS inflection along with this Japan sales growth inflection, or do you think that's still several years out considering this other transition that is occurring?
Dan Paul Amos: Well, let me just say, let's don't forget that life sales were down 11% and you can't breakout just ways because it is all part of it together. So I want to point that out. Kriss said he wants to take it so I'll since this is the last one will let Kriss take it and if you have a follow-up, I will answer.
Kriss Cloninger: Tom all I wanted to do is to point out that a lot of our costs are step costs and major. They don't directly vary with the production of the business. They are very similar between first and third sector of products and certainly some percentage of the costs are in fact very bold, but the way we manage cost particularly with in Aflack, Japan is, I will say, independent of the source of the production etc. etc. are staffing models are built around certain things and we don't have a lot of fluctuation in personnel or staffing levels over say a six month period. We'll adjust depending on trends and the like, but I can pretty much count on the Aflac Japan management team to come in with their expense plan we established at the beginning of the year. And one of the ways I disciplined that expense plan is by setting the growth in their general operating expenses generally at about an increased level of about one half the increase in the premium income. That's my objective, that's we'll start out with them. And so that adds some discipline to the process. It gives them some variability in their premiums. If premiums vary, I let their expense targets vary. But, in general, more of our costs are step in nature and not directly variable. So that tends to lead to some stability of profits regardless of variations and production over a short span of time, which I'd say is six months or so.
Dan Paul Amos: As we end this call I want to say one thing, because Aflac Japan is on the other end. Because you are all analysts and shareholders, I couldn't be prouder of the job that Aflac Japan is doing. I mean, to realize the market share we have, to realize a profit margin we have and to realize the sales increase we have now pulled for the fourth, first and second quarter is just stellar. I hope all of you will take note of that and realize, because I will put them up as bragging rights against anybody. There's always in a quarter some good and some bad and sometimes you have really bad news. Fortunately we've had very little over our history but sometimes you really have good news and I'm here to say we've got good news about Aflac Japan and what's going on and we are proud of them. So with that we'll turn back to Robin
Robin Wilkey: Thank you and I appreciate everybody participating today. If you have any follow-up questions I will be in the office so please give me a call. And thank you for being on the call today.
Operator: Thank you for your participation on today's conference. All parties may now disconnect.